Operator: Good day, and thank you for standing by. Welcome to the Prada Group Full Year 2024 Results Presentation. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] And please also note that today's conference is being recorded. I would now like to turn the conference over to Mr. Andrea Bonini, CFO. Please go ahead, sir.
Andrea Bonini : Good afternoon, everyone, and thank you for joining Prada Group's full year 2024 results conference call. This is Andrea Bonini, Group Chief Financial Officer. I'm delighted to be with you again, and I'm joined by Mr. Patrizio Bertelli, Executive Chairman of the Board; Mr. Andrea Guerra, Group CEO; and Mr. Lorenzo Bertelli, Chief Marketing Officer and Head of CSR. Mr. Patrizio Bertelli will start today with group highlights for the year, followed by Mr. Lorenzo Bertelli, who will provide an overview of our marketing and communication activities and an update on our ESG initiatives. Mr. Guerra will then give you a business update, and I will provide details on our financial performance before Mr. Guerra signs off with some closing remarks. As a reminder, during today's call, we may discuss forward-looking statements, which are subject to risks, uncertainties and factors beyond our control that could cause the actual outcome and returns to differ materially from such statements. Please refer to the disclaimers included on Slide 2 of our presentation. With that, I will hand over to Mr. Bertelli.
Patrizio Bertelli : Welcome to the presentation of the group Prada financial year 2024 results. I'd like to start by providing you with a short update on another year of progress for our group that kept generating a growth, which is higher than the market average and increased its profitability despite the challenging sector backdrop. We closed 2024 with revenues at EUR5.4 billion, up 17% at constant exchange rates. EBIT has achieved EUR1.28 billion with a margin of 23.6%. The group completed the year with a net cash position of EUR600 million. So the financials are extremely robust. These results highlight the strength of our brands, which is rooted in our competent attention to product and quality and in the capability to understand the contemporary with a lot of creative dynamics. We continued with a lot of energy and discipline in our store renovation program. And our retail network is now stronger and more productive. Thanks to vertical integration that the Prada Group has always invested in our sites and our people can grant quality, agility and effectiveness for all of us. These characteristics are even more important now than the market conditions are less favorable. In 2024, we further strengthened the foundations of our group and brands. And this is why despite a patchy market backdrop, we are looking at 2025 with a lot of trust, and we continue to work and invest for sustainable long-term growth. Let me now leave the floor to Lorenzo Bertelli for an update on marketing and communication programs and note progresses in sustainability. Thank you.
Lorenzo Bertelli : Thank you, and good afternoon. Over the last year, a comprehensive range of initiatives continued to showcase the distinctive identity and cultural relevance of our brands. The polyether DNA of Prada combined with creative dynamics fully the claimant menswear and womenswear fashion shows and successful advertising campaign throughout the year, starring impactful talent such as Scarlett Johansson, Benedict Cumberbatch, Hunter Schafer and Jake Gyllenhaal. High anticipated formats such as Prada Mode, Prada Frames in terms of Prada strengthening the cultural leadership of the brand, while the groundbreaking collaboration with actions based and the battle for the 37th Americas caused fashion boundaries, leverage on Prada advanced design, technical know-how, innovative spirit. Moving on to Miu Miu. The brand remained under the spotlight throughout the year, reaching a whole new level of visibility and scale, capitalizing its sharp positioning, built on strong and distinctive identity. Miu Miu immediate and irreverent creativity resonated in highly acclaimed fashion show and advertising campaign. The brand scaled up its community and experienced widespread appreciation across all categories and regions. Artistic collaboration cross-pollination of fashion, cinema and other disciplines and special events have further deep Miu Miu connection with culture, nursing its distinctive voice in the contemporary debate. Now I would like to turn to sustainability, which remains a key focus for the company as we strive to make progress in meeting our commitment to the environment, creating value for our people and playing a strategic role in the cultural debate. Under the planet pillar, consistently with our targets to fight change, we are pleased to have further reduced our Scope 1 and 2 greenhouse gas emission by 61% backed by continued investment in green energy. To contribute reducing our Scope 3 greenhouse gas emission, we launched an ambition three-year plan to convert raw material to lower-impact alternatives. We also started working on biodiversity and first assessment was conducted to better understand the impact of our raw material sourcing while a water risk assessment was delivered for the first time across our industry supply chain. Lastly, our commitment to responsible chemicals management continues. On the people pillar, we continue to promote equality and inclusion. We are proud that 46% of our top and senior management team are women. And to support gender equality, world life balance and professional inclusion, we have launched a new parental policy. To preserve our artisanal know-how 120 young people were trained in 2024 in the Prada Group Academy and 103 joining the production division. As part of our commitment to culture, we continue to develop our SEA BEYOND educational program in partnership with UNESCO. Around 35,000 students from 56 countries were reaching in 2024 through the first SEA BEYOND educational model, which was dedicated to explain the fragile balance between ocean and climate. Our commitment to the project has resulted in an ongoing dialogue with the institution and third parties to spread the message of ocean preservation, has also evidenced the presence of the SEA BEYOND logo on the Luna Rossa batten for 37th America's Cup. Thank you. I will now pass over to Mr. Guerra for the business update.
Andrea Guerra : Lorenzo, thank you, and hello from my side as well. We are happy with this set of numbers, and we are even more happy of these other reached milestones on our evolutionary journey. Has not been easy, but the year has traveled properly from January to December. So many things we yet need to improve, but what is important that we have been able for another year to keep discipline and being consistent. Many different reasons have influenced the growth and the trajectory of the industry in 2024. And by all means, has been, in absolute terms, a challenging year. Some regions deteriorated, some consumers clusters have been more cautious. What we have been trying to do all year long is to continue to foster visibility around our brands, innovate as much as we could on products and put more warm and excitement in our consumer relationships wherever they were. Our results have been solid, and I think that this has been a good price for our effort in 2024. If we look to Prada, this brand has had another positive like-for-like here. And it's important to say another because it's now a number of years that Prada has been showing a constant positive like-for-like. And I would also say that we have had a pretty solid year throughout the different months. We only observed a slowdown in China beginning second half of the year. What we also need to consider is that this set of results of Prada in Q4 have come on top of a challenging comp, being Q4 2023 being very, very strong. So we are also happy about that. And if we look to Q1 2025, again, the comparison for Prada will be challenging. Miu Miu in 2024 was solid and strengthen its foundations. We're happy. We have also been happy to name Silvia Onofri, Miu Miu new CEO, and obviously from here on, we will continue our journey together. I have to admit Miu Miu team as a special team. We have accelerated investments behind Miu Miu in all directions. We have a new design for our stores. We have new people that have joined, people that have been promoted from within, and we are working day and night to miss growth trajectory the most sustainable for the long term. Now Andrea, please give some more details regarding our financial performances.
Andrea Bonini: Thank you, Andrea. I would like to start with the key financials on Slide 14. The group reported net revenues of EUR5.4 billion, up 17% versus fiscal year '23 at constant FX. This marks the fourth consecutive year of double-digit growth at group level. Exchange rates had a negative impact of 210 basis points on revenues and the increase at current exchange rates is therefore, plus 15%. Retail sales totaled EUR4.8 billion, up 18% versus fiscal year '23 and up 39% versus fiscal year '22 at constant FX. EBIT reached EUR1.28 billion in fiscal year '24 with margin of 23.6%, showing further expansion versus the 22.5% of fiscal year '23. A result delivered in a context of substantial investments behind the brands, not only in terms of communication, but also in our retail network and in the industrial and IT infrastructure. Finally, thanks to the very significant cash generation, we closed the year with a net cash position of EUR600 million after EUR462 million of CapEx cash out and EUR351 million of dividends. Moving on to the next slide. Retail continues to be the key driver of top line performance, up 18% versus fiscal year '23 at constant effects, driven by like-for-like full price sales and with a positive contribution from both average price and full price volumes. The fourth quarter delivered a strong and consistent performance, also up 18%, notwithstanding a more challenging comparison base. Wholesale was up 7% year-on-year and up 4% in Q4. The performance continued to be driven by the DFS channel while we kept our approach selective with independents. Royalties were up 17% year-on-year, supported by both eyewear and fragrances. Turning to the next slide, retail sales by brand. We are pleased with the performance of our brands as they continue to register above-market growth. Prada delivered a solid plus 4% over the year, driven by full price like-for-like sales. Growth was supported by our categories and genders. Q4 registered a plus 4% in acceleration versus Q3, which was plus 2%. Miu Miu reported a remarkable organic performance, plus 93%, with retail sales in excess of EUR1.2 billion. Growth was very well spread across all product categories and regions. Strength continued in Q4, where retail sales up 84%. As a result, the brand contribution to group retail sales increased to 25% against 15% in fiscal year '23. As for charges, the strategic efforts of the past years continue to keep the brand on a positive top line trajectory, delivering in the year a very good like-for-like performance in the high-teens. Moving to the next slide, retail sales by geography. The group achieved solid growth across all regions. Asia Pacific progressed well over the year at plus 13% year-on-year, showing positive trends across countries despite the more challenging market conditions in the region. The trend improved in Q4 at plus 16%, notwithstanding the higher base as you will remember that Q4 '23 saw an acceleration in the whole region and Mainland China in particular. Europe grew by 18% over the year and continued solid growth at plus 16% in Q4 as well, supported by healthy local demand and tourist consumption. In the Americas, retail sales were up 9%, showing a further sequential improvement in Q4 at plus 11%. Japan was the best-performing region over the year, up 46% year-on-year driven by remarkably solid local demand, and of course, a very positive touristic flow. Q4 also saw an elevated growth plus 31%, albeit in slight moderation versus Q3. And lastly, the Middle East also delivered a solid performance at plus 26%, including Q4 at plus 30%, fueled by both domestic demand and tourist spending. Turning to the next slide. Gross margin reached 79.8% in fiscal year '24, 60 basis points lower than fiscal year '23 broadly stable if we exclude the FX impact, and we don't expect meaningful movements going forward as well. OpEx increased by 13% at constant FX, of which plus 12% in H2 mostly driven by the variable component and continuous investments behind the brands, which takes multiple forms, including marketing and discretionary facing activities, store CapEx, hence incremental D&A and digital and IT developments, which impact G&A costs and D&A. The group generated an EBIT of EUR1.28 billion, reaching an EBIT margin of 23.6% in further expansion of 110 basis points versus fiscal year '23, notwithstanding the substantial investments I mentioned and the FX drag. Finally, net income reached EUR839 million, an increase of 25% versus fiscal year '23. CapEx for fiscal year '24 was EUR493 million as we continue to invest across retail, industrial capabilities and technology. On the retail side, the effort was very significant with 38 gross openings and 90 renovations and relocation projects in the year. We're very pleased with the results and the progress made elevating our network. Aside from retail, we continue to invest to further strengthen our industrial platform and to progress our digital and IT infrastructure. We expect retail and industrial CapEx to see an increase in 2025 as we mindfully shift more focus to new space after years of stability or slight decline in retail square footage, as we continue to strengthen our industrial footprint, both organically and through relatively small but very strategic M&A. Moving to the next slide. Net working capital continued to improve as a proportion of net sales to 15%, thanks to good control of inventory in context of the double-digit growth experience at group level. And lastly, net cash position reached EUR600 million at the end of 2024, thanks to very positive cash generation through the year. The board of directors has proposed an increase of dividend per share to EUR0.164 which compares to EUR0.137 last year, which would result in a total dividend of EUR420 million and a payout ratio of 50%. With that, I will hand over to Andrea Guerra for 2025 priorities and closing remarks.
Andrea Guerra: Thank you. Looking to 2025, and obviously we're now into the first two months and we have been pleased with our performance so far, considering the high base of Q1 2024. I think that looking to 2024 numbers, we have been a group that started pretty fast and kept on going through the quarters with the same velocity. So obviously, we have now higher comps to compete against. The industry continues to be challenging, and we'll keep being challenging for another while. Two decades of constant growth with a post COVID acceleration has to be digested. I don't think there is nothing structural in all of this. There are some geographies like Greater China that still are not accelerating, but are let's say, keeping the same trends. But there are also other geographies that have been keeping up through even this couple of last years, which have been more challenging in general. Our priorities are unchanged. Our ambition is unchanged. And we are working as hard as we can to generate solid, sustainable and above market growth. It will require great effort. We will make our own mistakes. We will have some ups and downs. But I think that all in all, we are ready to overcome another not easy year for the industry. Having said all of this, I thank you for listening. I turn back to the operator. And as usual, we are happy to answer to your questions.
Operator: Thank you. [Operator Instructions] The questions come from the line of Edouard Aubin from Morgan Stanley. Please ask your question.
Edouard Aubin : Yeah, good afternoon. Thank you for taking my question. So my first question, Andrea. Andrea Guerra, just to be specific. You mentioned kindly that you were satisfied with how the trading had started at the beginning of the year. So when you look at the product brand, you grew about 4% at constant currency in 2024. Any specific reason to believe that growth should slowdown this year given that the environment in theory should be a bit less adverse in '25 than in '24, you said it's still challenging. But I guess some people expect the environment to be maybe a little bit less challenging. So when we look at the headwinds and tailwinds for the product brand, again, any reason to believe that growth was down? Thank you. That's my first question.
Andrea Guerra : Hello. So regarding Prada, we are pretty confident that we can keep on with our growth trajectory with Prada. As I was saying before, Q4 2023, Q1 2024 have been pretty fast for Prada. So I wouldn't be surprised to see something lower in Q1, but something higher in Q2, Q3 and Q4. So -- and I never saw worried about ups and downs in this kind of periods. But what I see is a trend and the trend is solid, and I don't see anything against that during 2025.
Edouard Aubin : Got it. Thank you so much. And then my second and final question is Mrs. Prada indicated to the press this week that the Prada Group was one of the company looking at Versace. There was also some press report this morning indicating that the Prada Group could eventually also be looking potentially at acquiring Jimmy Choo. So can you confirm if indeed you are also looking at the Jimmy Choo brand? And then related to that, in the early 2000, Prada proceeded obviously, we're not working with Prada proceeded to the number of acquisitions with various successes. So in the hypothetical case in which you would proceed to a relatively material acquisition, what can you tell us, please, what has changed and why Prada would be in a better shape to make an acquisition? Thank you so much.
Andrea Guerra : Andrea can take care of this.
Andrea Bonini : Hi, Edouard, I'll just say that we don't comment on rumors on the first part of your question. On the second part of your question about what is different in hypothetical cases. I think a number of things are different. I mean, many, many years have passed different companies, I'd say, different scale, different team, so many differences. And I would leave it at that. Thank you.
Edouard Aubin : Okay, thank you.
Operator: The questions come from the line of Chiara Battistini from JPMorgan. Please ask your question.
Chiara Battistini : Hi, good evening, good afternoon. Thank you for taking my questions. My first question is on your outlook on profitability for fiscal '25. We come from a year of very strong profitability expansion for the year and for the second half. So I was wondering if you could share your thoughts on how you're thinking about margins this year, please. Thank you. That's the first question.
Andrea Bonini : Chiara, I'm Andrea Bonini. The -- look, I mean, the investing behind our brands will remain the priority. We will continue to invest in marketing and retail initiatives to drive long-term brand desirability, meaning that we will not cut back on marketing to protect short-term margins as we always been saying. D&A, fair to say that we continue to increase because we have accelerated over the past years, investments across all areas. And we want to be as disciplined as we can on other costs, I mean, from labor to G&A. So bottom line, ideally, we would like to maintain a trajectory of progressive even if moderate margin expansion year-over-year, but the priority is growth and scale to generate more meaningful operating leverage in the mid, long term. Thank you.
Chiara Battistini : And my second question is on the Americas region. I was wondering if you could share with us any color on are you thinking about the opportunity in Americas, in North America, specifically for both Prada and Miu Miu. And recently, there have been a deal of concerns that the American consumer is after a good festive season in Q4 might have started to slow this year in recent weeks. So any comment specifically on, well, Americas medium term and also the recent trading you've seen on the ground would be super helpful? Thank you.
Andrea Guerra : So we have seen America going pretty fast between 2017 and 2022, probably more than doubled the American market. Then we have seen a year of consolidation, which was 2023. We have seen a year of 2024, which I cannot definitely judge in terms of a positive sign, but we have seen a lot of positive signs. That is we have seen acceleration. We have seen some decelerations. We are investing in United States. We are really refurbishing our stores, is one of those few places where we have restarted our -- the building of a team from -- I don't want to say from scratch, but we really restarted the team for Prada and obviously, thinking about as well our Manhattan investment, it means that we care about the next years in United States. So I'm pretty positive about short term and medium term in United States, but this is a period of non-constant growth. So there can be, again, quarters or moments or months where you've got a little bit of deceleration and then an acceleration. I'm not so into a kind of daily tracking of what's going on. I am confident on North America. Next question, please.
Operator: We are now going to proceed with our next question. And the question comes from Susy Tibaldi from UBS. Please ask your question.
Susy Tibaldi : Hi, good afternoon. Can you give us a bit of detail in terms of the growth that you've seen with the various nationalities in Q4, mostly Chinese Americans and Europeans? And any further detail you could provide? And also, if there was any difference in trends between Prada, Miu Miu. Of course, Miu Miu, we mere talking about incredible growth rates. So they're not exactly comparable, but the areas in terms of directionally, if you have seen certain regions that perhaps have reacted even stronger with products from Prada versus Miu Miu or vice versa. This is my first question.
Andrea Bonini : Susy, Andrea Bonini. I'll answer the question the way we usually do, which is with reference to Prada and living aside Miu Miu. And by the way, there are no apart from the numbers, right, being, as you said, I mean very positive, but there are no significant other differences that we would call out. So with reference to Prada, Chinese in Q4 was low single-digit positive versus a slightly negative in Q3 and therefore, they were low single-digit positive in the year as a whole. The situation, again, in Q4 wasn't dramatically different in the sense that they continue to hover around zero, and that's the environment we're seeing. On Europeans, it was a solid -- very solid year, as we know, in the mid-single digit and no differences in Q4, which was at that level. North Americans, Andrea just answered the question in with reference to the U.S., but also in terms of demographic, I mean, in terms of the cluster was improving in Q4 to high single digit versus a low single digit in Q3. And then the last one I would call out is Japanese, which was double digit in the year, and in Q4 as well albeit in a progressive moderation as we've been expecting, and it's normal to see.
Susy Tibaldi : Thank you. Very clear. And when it comes to -- you already mentioned a little bit about the start of the year for the Prada brand that you would expect perhaps a little bit lower growth given the very tough comparison base. But more broadly, when you look at the overall market and the trends that we are seeing. Because obviously, we're starting -- we had a very good Q4 as an industry, but I think there has been a little bit of this argument that perhaps the gifting, there has been a little bit of spend concentrated around the gifting season. And now that the season is over, perhaps the trends may start to slow down again. Is this something that you're seeing, regardless, if you exclude, obviously you're very confused, but are you seeing again a little bit of more hesitancy from the consumer to go to the stores? Are you seeing traffic that has again become a little bit weaker? Is there any indicators that would suggest to you in the various regions, whether we can remain confident or actually some of the consumer confidence that we built in Q4 may already start to fade?
Lorenzo Bertelli: Hi. It's Lorenzo Bertelli to your answer. So on one side, I agree with you in the sense that the gifting season is much stronger for some brands than the others. Generally speaking, investment, the competition is much higher. So I agree with the fact that the gifting season may not be 100% honest in what is the real estate of the market because there is overall a bigger investment somehow consumers feel themselves likely to buy something. But I will say that overall, the strategy of our group, we never been, let's say, I will not put in the strategy of our group, like a top investors during the gifting season in the sense that we usually typically used to tend some -- to lose some market share during that period because strategically, we believe it's better to have a more balanced investment during the year. So I would say that generally may be this kind of you notice it, but for us for sure who is going to be less than the sector overall. I hope I answered to your question. We’re ready for the next question.
Operator: We are now going to proceed with our next question. The questions come from the line of Erwan Rambourg from HSBC. Please ask your question.
Erwan Rambourg : Yeah, hi. Good afternoon. And congratulations on a pretty fantastic 2024. My first question is on the U.S. Over the past two, three weeks, we've seen a bit of macro deterioration, equity markets, crypto, stress around tariffs. You seem to be less exposed to the U.S. than some of your peers. So maybe starting from a lower base. Do you think this macro deterioration can actually weigh? Or do you think that the momentum that you're seeing can actually make you not immune, but possibly more protected from the macro environment that we're seeing slightly deteriorating? Thank you.
Andrea Bonini : Hi. It's very complicated to answer to such a question. I mean you have a kind of everyday analysis of financial markets and so. I think consumer reactions are not that fast or so reactive? So what I said, I repeat, I see an overall improvement of the American market during the past 15 months, but I have seen some accelerations and some decelerations. I would like to say that in unstable periods, this happens. Let's see where it goes at the end because this will not last for long. So it's not that for the next three years, we're seeing ups and downs. At a certain stage, we will see a kind of trend going upwards or downwards. But today, I repeat what I said before. It's not daily, it's not weekly. I mean so many things have happened in the United States in the last 3 months from political, geopolitical from fires, no, whatever else. So I would keep a kind of faith today.
Erwan Rambourg : Okay. And then maybe just a question on Miu Miu. You very impressive recruitment. And I think you still have a low base in terms of stores, but you've moved from EUR600 million to EUR1.2 billion in sales. What's the dream? What can we dream for the next, I don't know, three or five years? I know your new CEO just arrived, so probably you don't have a three-year plan just debt, but what types of -- is there a limit to how far this brand can go?
Andrea Bonini : Let me say that we are not dreamers. So we are trying to achieve the most sustainable growth possible. How? So first of all, it's obvious that this kind of growth cannot continue for long. On the other side, we are trying constantly to balance our product offer so that we don't have unique products moving in certain directions, but trying constantly to keep a balance. And this is what we are trying to do all the time working as hell on locals, working as hell on people who repeat and come back to the brand. This is what we are trying to do. This is what we have to do, not necessarily we do it always right. And not necessarily this kind of growth will last forever, and we know it.
Erwan Rambourg : Thank you.
Andrea Bonini : Thank you. And let’s go to the next question please.
Operator: We are now going to proceed with our next question. And the question come from the line of Oriana Cardani, Intesa Sanpaolo. Please ask the question.
Oriana Cardani : Yes, thank you for taking the question. The first one concerns the gap profitability between Miu Miu and Prada, has the gap between the two brands narrowed in 2024? And what is your ambition for Miu Miu's profitability in midterm? Thank you.
Andrea Bonini : So in terms of profitability and gap, we are a company of two brands. Miu Miu is making its way also because Prada is there. So I would not love to imagine the difference from that. We have built an infrastructure and industrial infrastructure, consumer infrastructure, a services infrastructure because Prada was there. So Miu Miu profitability has substantially increased, even because when you have this kind of growth, it's more complicated to catch up with the costs. So it has increased and increased substantially. We remain with the same objective and mission. We want to grow. We want to grow in a sustainable manner. We will continue to foster to invest, to nurture our brands, our creativity, our products, our store, our relationship with our consumers, the best we can. Then obviously, if we are good in this and we have a scale effect, we will try to retain and increase our profitability. This is the logic and will not change.
Oriana Cardani : Thank you. Yes. Thank you. My second question is about Prada, [Indiscernible].
Andrea Guerra : Your question was cut, I didn't understand nothing. If you can repeat?
Oriana Cardani : Yeah, sure. Sorry. The question is about Prada and in particular, which product categories grew the fastest in 2024?
Lorenzo Bertelli: Generally speaking, we have seen a very balanced growth for sure, ready-to-wear is the one that grow the most, but I would say, generally speaking, was quite balanced.
Oriana Cardani : Thank you.
Andrea Guerra : Next question, please.
Operator: We are now going to proceed with the next question. And the questions come from the line of Thomas Chauvet from Citi. Please ask your question.
Thomas Chauvet : Thank you. I have one question, please, on the step-up in retail expansion that you mentioned earlier, Andrea Bonini. Can you give us the number of store openings planned for Prada and Miu Miu this year? Remember, this was expected to drive low single-digit percentage contribution for Prada, and 10%, 15% for Miu Miu. Is that still ballpark the assessment you have? And how long is the store rollout plan going to last for? I mean, is it 2, 3 years? Is it towards 2027 or beyond? Thank you
Andrea Bonini : The numbers are -- the numbers are the ones we spoke about before. Bear in mind that there may be some closures as well, having an impact in the same way that maybe in the end, something -- be something less, being something more depending also on the bandwidth and capabilities we have to deal with the different projects. I mean, for sure, in 2024, there was a very substantial effort on retail side, with also a significant number of gross openings that were entirely sort of balanced in terms of net number by some additional streamlining or smaller locations, less relevant locations. And as we said, I mean, starting from this year, from 2025, that is less evident. And look, I think it's probably fair to say that 2025 is indeed a year where we expect to see a bit more space than what we've seen over the past few years. Well, we actually didn't see any. And in '26 is feels a long time away at this point, but probably similar. And at some point, I mean, if we talk about medium, longer term, yes, I mean tapering.
Thomas Chauvet : Thank you.
Operator: We are now going to proceed with our next question. The questions come from the line of Melania Grippo from BNP Paribas. Please ask your question.
Melania Grippo : Good morning and good afternoon. This is Melania Grippo from BNP Paribas. I would like to ask if you please could update on the level of sales per square meter by brand. I remember in the past, you commented that Miu Miu was not that far from Prada. And now at the end of the year, could you please give us a little bit more detail? Thank you.
Andrea Bonini : So when we see that, basically, we have grown like-for-like, I mean it's obvious that the growth of Prada has been the growth we have seen in the revenue and the growth of Miu Miu is what we have seen in the revenue. So it means that the productivity of Miu Miu has substantially accelerated. And this is also the reason why we are opening some stores on Miu Miu. And we need them, traffic needs them, productivity meets them because on one side, it's fantastic, sometimes to see very high productivity, but it's also very important that we are capable to offer a proper service. So this is why in certain cities, we are trying to fill up some gaps, and this can take us during the year to have some stores more in Miu Miu.
Melania Grippo : Thank you.
Andrea Bonini : Next question, please.
Operator: We are now going to proceed with our next question. And the questions come from the line of Linda Huang from Macquarie. Please ask the question.
Linda Huang : Hi, thank you very much management. My first question is regarding for the balance sheet, because the previous management talking about that, we probably will have some strategic investment. And right now, we roughly have a net finance position around EUR600 million. So I want to know that if we have any more like investment in 2025, how do we think about the capital allocation? Are we thinking about to have a certain gearing up where we were thinking about like the equity fundraising? So that's my first question.
Andrea Bonini : H, Linda, sorry, the last part of your question wasn't entirely clear to me about the equity fund raising. If you can repeat that last part?
Linda Huang : Yeah. I'm just asking whether we consider about more like a gearing or we are thinking about the equity fundraising, if we want to have a more like investment this year?
Andrea Bonini : Well, look, let me step back from -- first, on -- first part of your question around CapEx and debt. Also I think says a lot in terms of where we're going to deploy it, meaning we expect -- as I said in my presentation, I mean, we expect retail and industrial CapEx to see an increase in 2025 because we want to mindfully shift more focus to new space after years of stability or slight decline in retail square footage. And very importantly, as we continue also to strengthen our industrial footprint both organically and as we've done in the past as well, relatively small but very strategic M&A. So CapEx wise, I would think fiscal year '25 to be in and around, say, the EUR550 million. I mean over the past years, we've been investing significantly behind the brands and making up in a way also for the past. And we invest in our brands to support the top line growth. We've grown significantly over the past years, and we've been investing to support this and we'll continue to do so. So that's priority number one, as we will always say. And with this level of investments, and as also seen in 2024, we've also been able to pay what we believe it's an attractive level of dividend, which we also announced for -- for the current year, and that's it, frankly. Next question, follow-up.
Linda Huang : Yeah. And the second one, I wanted to ask about the category because we can see that more and more the brands that focus on the hard luxury including watches and jewelries. So I just want to know that what is the category, how important it is to our overall sale? And will we be more aggressive in these two are like luxury category. Thank you.
Andrea Bonini : So obviously, we are focused on specific categories that are very well known. On the other side is now two years that we have started our journey in fine jewelry, and we started our journey on home. We are happy on how the two categories are evolving. And I don't think I need to add anything else. I think it's -- they're going -- they're growing. We are still representing a small numbers compared to the industry and compared to ourselves as well, but they are growing and they are significant today to attract either our own consumers in different moments of their life or new consumers. This is why we are doing it, and this is why we are evolving it, and we have also reached our creativity team in fine jewelry in the recent times.
Linda Huang : Okay. Thank you very much. And congratulations for your good results.
Andrea Bonini : I would take another couple of questions. So we can go to the next question please.
Operator: We are now going to proceed with our next question. And the question comes from the line of Louise Singlehurst from Goldman Sachs. Please ask your question.
Louise Singlehurst : Hi, good afternoon to all. Thanks for taking my questions. And many congratulations on very good performance in a challenging environment. The one question I had, which is left, please. Just on the pricing. You've talked about obviously the moving part of the growth profile as we look out to '25 and '26 in terms of space. Volumes, obviously, is a big question mark. But what can you tell us about pricing and any room for maneuver on pricing, both certainly 2025 and where that pricing might be across the architecture of the offer? Thank you.
Andrea Bonini : So what is good about our brands is that since we have come from a little bit more challenging periods, I think that we have pushed a little bit our prices but nothing extreme. If you look to our price ranges today are well balanced. I'm talking about Miu, and I'm talking about Prada. What we have is an unbelievable opportunity upwards. There are price ranges that we are not really touching today. So we have an opportunity there. We needed the consumer for those kind of price ranges. We need the store infrastructure for those kind of price ranges, and we are ready for that. So we are pulling up our price architecture from this point of view, which does not mean to increase prices but to have a better mix in what we sell. I repeat it, and I will continue to repeat that we have not changed our enterprises. So that is the most important part, and that has been the most relevant action that we have taken in the last years. The entry price is critical, is important. Then you can stretch upwards as much as you can.
Louise Singlehurst : Thank you.
Andrea Bonini : Thank you. Last question, please.
Operator: We are now going to proceed with the last question. And it's from the line of Chris Gao from CLSA. Please ask the question.
Chris Gao : Good afternoon. This is Chris Gao from CLSA. I have only one question. So this is related to the Chinese cluster. We are very happy to see that 4Q has already turned to positive and the CRI is actually not bad for the entire luxury sector. So just wondering for the customer group behind what is the key driver is still the VIC driving the recovery in 4Q as well as the continued performance in COY or it's more mid-level consumer picking up that drives the recovery? And secondly, it's also related on the clienteling strategy among different groups heading into 2025, are we still planning to do more in terms of VIC or actually compared with 2024, we will start to see more planning to pick up more mid-level or even aspirational customers in the year 2025? Thank you.
Andrea Bonini : So my answer would be the following. We have seen during 2024 a drop in consumer Chinese -- in Chinese consumer confidence and I would say, Chinese traffic in China. I wouldn't consider a Q4 relevantly different from Q3 or Q1 2005, which insider is a good news and bad news. The good news is that it's not deteriorating. The bad news is not improving. What do we see today in terms of Chinese consumers, we see Chinese wishing to buy on events, and we see Chinese wishing to buy during their touristic activities? These are the two main things, apart VIC that were well are important parts of our clienteling of our activities or our events, and we will never give up.
Chris Gao : Thank you. This is helpful.
Andrea Bonini : If you wish another question, then we finish up. Thank you very much. I don't want to be bad manners.
Operator: Okay. We are now going to proceed with our next question. And the questions come from the line of James Grzinic from Jefferies. Please ask your question.
James Grzinic : Good morning to all. Thank you. Glad, I manage squeezing right at the end. I had two quick ones please. The first one, can you update us on your thinking on a dual listing, please? And secondly, I appreciate you don't comment on media speculation. But I was wondering whether you can talk us through the criteria that you apply when you consider acquisitions, please?
Andrea Bonini : So regarding dual listing, there is no progress. Regarding investment strategy, I think that we have been always very, very clear. On one side, we are 100% totally focused on our brands from day to night and night to day. On the other side, you never decide when things come around. When things come around, you always look at them. I don't think that you need to be arrogant not to look at them, and that's it.
James Grzinic : Fair enough.
Andrea Bonini : Thank you, and I wish to thank all of you, and see you soon and talk to you soon.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a great day.